Operator: Welcome to the Datavault AI Second Quarter Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Susan Zhu with Allianz Advisors, Investor Relations. Please go ahead.
Susan Zhu: Good morning, and welcome to Datavault AI Business Update Conference Call. Again, I'm Susan Zhu with Allianz Advisors Investor Relations. And as a reminder, today's call is being recorded. Before we begin the call, I'd like to remind everyone that we will be making certain forward-looking statements, which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. Any such forward-looking statements should be considered in conjunction with the cautionary statements in our press release and risk factors discussed in our filings with the SEC. Datavault AI assumes no obligation to update any of these forward-looking statements, except as required by law. Please refer to Slide 2 of today's accompanying presentation for more information. With us today are Nate Bradley, CEO of Datavault AI; and Brett Moyer, CFO. With that, I'll turn the call over to Nate. Please go ahead, Nate.
Nathaniel T. Bradley: Thank you, everyone. It's a very exciting day here at Datavault AI. We have made a number of key milestones come to fruition. If you look at our business products and our revenue derived from, we're really excited about the results of the second quarter. We missed being able to book or to recognize revenue that we have booked around a licensing transaction with Nyiax. I would say, the value of the transaction is actually much greater in our eyes. It actually unlocks the value of our company in a big way. So we're really excited about that relationship more than anything and what it creates for us moving forward. So that was quite a triumph with respect to the revenue generation and our kind of penny test, if you will, as we move forward into a much larger scale moving forward. So you can see the sequential growth. I'd mention that there's a seminal event in the United States with respect to the passage of the GENIUS Act. This opened up large-scale licensing opportunities in the U.S. banking industry. Datavault is pursuing a number of things. We have a very special patent position in the marketplace. We are unlike many companies that compete in AI and data and data monetization. We are a company that relies on proprietary technology. We actually have a sovereign right to particular capabilities and systems that we've built over time. We've also brought in high-end litigation and development teams around our portfolios at Fish Richardson and Greenberg Traurig. We have financial damages analysis underway. We're looking at large U.S. banking operations that have begun to use tokenomics and crypto management and custody, several areas where they start to enter into needing an exchange that Datavault AI offers. We have an exceptional product line that's proprietary to us, and we're going to protect our proprietary rights across the world. And so doing that is -- it's a proposition where we are judicious about our expenditures there, looking at contingency and blended contingencies that give us very little cash output, but large cash opportunity for our shareholders and our stakeholders while not disrupting our core operations or our business management moving forward. So that's a very developmental side of our business that's going to continue to develop a lot of value for all the stakeholders involved. So we're very excited about the progress we've made. We also have a standards-based practice around Greenberg Traurig and their work with us around HD wireless transmission, a number of patents that we've received, shout-out to Joshua Paugh, who's been prolific, Mark Twain of patents, who can capture so much. Brian Owens on our team deserves a lot of credit as well for bringing forth a portfolio here that has a standards body capability. We can partner with large corporations in that space and create a standard and start to monetize the WiSA portfolio in a way that probably others will be surprised at. And at a standard level, the revenue is quite exceptional and high margin, and we're excited to activate that. So those are some of the key highlights of Q2. And as we move forward, when you look forward to Q3 and what we're looking to accomplish, we have an International Elements Exchange that we've announced. It's captured the attention of the world. We have individuals and large mining and operations that are dealing with precious metals and elements, including carbon credits and geothermal and other aspects, that we're beginning to use our RWA, our real-world asset tokenomics and our ability to use any chain selected by our customers as a chain-agnostic solution on blockchain and an AI-powered system that, as you may know, is now Watson AI powered. And with watsonx.ai and IBM, we have an exceptional engineering team and ability to deliver. That's something Jeff Jones and our team has been really excited about, our ability to scale our software development and our customer acquisition and customer services through the IBM infrastructure, really learning from the best and shadowing the best possible licensing partner you could have to train us on all aspects of the disciplines necessary in high cybersecurity, supercompute and large-scale deployments for our customers within those secure environments. So in 2025, we've set out to acquire 2 companies. CSI was a successful acquisition. Getting that under our belt, it's been both an exceptional challenge and a pleasure working with individuals there. Mark LoGiurato deserves a mention on this call. He's been organizing in tough circumstances, the integration of Datavault AI and the CSI team there. And certainly, the Williams and others involved, [ KL Williams ] deserves a mention there, doing a good job communicating and getting things ramped up with the team there that's really quite exceptional. So we're excited about the progress we've made with that acquisition, and we look forward to a second acquisition. You may have seen that API Media has agreed to terms. We require a down payment in cash here in the next 7 days that we intend to make. And we have a strategy to close API Media in that time frame. That particular acquisition is something that is very hard fought and something that we're building up, being selected by API as a potential technology that accelerates their business; it's something that's quite an honor and something that we're looking to build up our [ chops ], our companies wherewithal to have such a selection be made. So we're positioning the company to close. We're really honored by the opportunity with API, adding that to the exceptional assets of the company. If you look at the recent milestones just this morning announcing the Q2 results, it's a 467% year-over-year number. It has the $2.5 million booking, which was, again, the Nyiax deal that gave us access to the NASDAQ financial framework, which unlocks our ability to launch exchanges using the Datavault tokenomics, which is a patented system kind of stem to stern that we're excited about and really is not reflected in these numbers with respect to its revenue-generation capability. So turning that on carefully with IBM and looking at these exchanges, loading these exchanges with materials, our Elements Exchange; we've launched an NIL exchange and a political exchange that will all have governance and systems around them that IBM's AI makes possible, that the GENIUS Act unlocked and made legal in the United States to have such mechanisms. And so we're carefully assembling that, working with partners like IBM to make sure that all of that infrastructure is set up in a very professional way. We've also targeted some brand names that we'd like to name these exchanges after in honoring some major American brands that kind of deserve to be the namesakes of these exchanges. So we have an exciting trajectory there. We've made some announcements with respect to that. I mentioned API Media. That's a milestone set for next week. Very important, our company hits that milestone. And I'll explain how we get there. Our senior secured note that we just executed is another $12 million financing August 20th, this gave us access to like pulmonary cash and ability there. I'd like to thank Anson ANS and SEG Opportunity Fund. I'd like to thank them for kind of a steadfast support of our company, a belief in us that is really quite an honor. So we're very thankful to them. And when you look at this, the trajectory of our company, this is another injection of capital at the exact right time. It is an ability for us to reach the promised land, the ability for us to move forward to our vision and execute at a level that we're really excited about executing on. IBM Platinum partnership, we're now a Platinum partner there. That's a big honor, something that we've obtained as a team, Jeff Jones, our engineering, the team in Atlanta, Sonia Choi; getting us organized, capturing this unique opportunity and then exploiting it in a way that's allowed us to bring major horsepower onboard. The Nyiax stays on the board as a major milestone because it's an incredible, unique opportunity. It's patent backed, and the cross- license between us is exceptionally powerful. And the world is about to see what that partnership can do. IBM Platinum partnership, we're now a Platinum partner there. That's a big honor, something that we've obtained as a team, Jeff Jones, our engineering, the team in Atlanta, Sonia Choi; getting us organized, capturing this unique opportunity and then exploiting it in a way that's allowed us to bring major horsepower onboard. The Nyiax stays on the board as a major milestone because it's an incredible, unique opportunity. It's patent backed, and the cross- license between us is exceptionally powerful. And the world is about to see what that partnership can do. You also have the Dolby license where we're able to use our WiSA technologies and in conjunction with Dolby, create unique technologies in a space where we have dominated for many years in terms of engineering dominance and ownership of high-definition spatial audio and transmission around that, that is extremely special, unique and powerful. It has a lot of Web3 implementations that Datavault is ceasing on right now. Our engineers are working with very special toolboxes that belong to only us. We have a unique footprint. VerifyU has risen as a very simple implementation of a very complex technology. It allows you to check someone's credentials. Whether someone served in the military operation, whether they were injured and received an award, all of the valor that we document around the world can be utilized with this technology. This technology can also protect colleges and universities and sports organizations like the NFL Alumni. I'd mention Billy Davis, health care leader over at NFL Alumni, great partner, good person, really helping our business expand and has a vision for the future. But he also saw VerifyU very early as a mechanism to help NFL players get their benefits, to get their health care, to get all of the things that he has organized at Alumni on behalf of the NFL players and alumnus. They are able to utilize a system that can prove their valor, prove what they have achieved and also receive the benefits owed to them. So there's some very unique technologies. I'd also mention on the right-hand side, the Information Data Exchange drastically enhanced with the exchange of exchanges, the Nyiax, the ability to have the International NIL Exchange, our International Elements Exchange and American Political Exchange. These are exchanges that we're launching on tried and true, trusted infrastructure with IBM on the pricing and the mechanisms around our data value and DataScore, agents, our agentic solutions that include Datavault Bank, a smart contracting solution that solves major American problems. And in the case of Elements and NIL, a worldwide phenomenon that we can use blockchain and systems created by Datavault to protect one's identity, to claim it and to move it into monetization. We can do this all around the world for our customers. I'd also mention that under our Acoustic Science division, a dominance in events, our eyes on API Media acquisition next week, which would unlock if selected, if finalized by API, the ability to be part of some of the most marquee events in America. CompuSystems, a worldwide registration company that we've taken command over, and we have completed our transaction to acquire. We have recognized revenues and ramped up systems to move Web3 automation and modernization and technology into place. I would mention WiSA and Brett Moyer and our team, Kat, Keith, Ed; you guys have created a system that will leave a legacy for the years to come. We have a dominance in audio. We have a standards body that we're going to license out, and we have a product that's going to continue to capture the world right in their ears. We have an AI platform, now Watson [ stabilized ] and IBM Platinum Partner supported, that allows us to scale this operation. We have our [ DB Hollow ] operation, which is giving us the visuals that go with exceptional sound and have a number of Web3 implementations and data monetization utilizations. So we're incredibly excited about this footprint. The power of VerifyU will be revealed in the coming days, it's revenue generative power. And the power of Datavault is a sleeping dragon. It is unlocked with the information, data exchange, and it is about to be unleashed in the world in the form of International NIL Exchange, Elements Exchange and the American Political Exchange, traded with Nyiax technology. We have an incredible cadre of customers. Where is the money coming from? I got a great text from a shareholder this morning about where is -- something that allows us to launch a company that generates revenue. And this revenue is central to our valuation, central to accelerating our price point in terms of the appreciation of the value of Datavault AI as a whole. These are the clients, these are the new clients that we can feast upon in terms of our ability to implement our technologies and give them life-giving revenues, new revenue streams within these operations and incredible technologies that enable the revenue generation within our clientele to have widgets and capabilities that other companies do not have and give those to companies that monetize in products, in technology, in software. And then a Datavault platform that's captured the attention of leading national laboratories, the ability to showcase a [ FIO ] intel capability to look at the bioscience and high sciences as a way to use Datavault at a high level within cybersecure environments that are second to none in the world, solving problems that are amongst the hardest to solve in the world. We have also GFT ability to deliver a blockchain coupon. And I mentioned NFL Alumni partners of ours, White House Experience, the People's House, founded by Jacqueline Kennedy, something that we're proud to be part of. So we have incredible business momentum and new clientele that need our technology to be competitive in the AI generation. We have a business model that takes licensing from Datavault, information data exchange, the Datavault, the DataScore, the Datavault Bank, these are [ agentic ] solutions that allows us to use AI agents to generate money for our clients. We take part of what we make for our clientele. We have licensing of our ADIO and WiSA technology that allows us in various industries to revolutionize how things are advertised, how tickets are bought, how people engage in environments. And in closed environments, even in your living room, we have a technology that is exceptional, that raises your attention, that is better sounding than the audio you're hearing right now. And if you simply listen to WiSA, you understand why it's a breakthrough. And when you hear it for the first time, you realize what you missed out. And so turning that on around the world is an exciting proposition for us. WiSA has a strong muscle in this company, and it's about the flex. We have the ability within this to launch exchanges. We have selected three primary exchanges and a fourth, which is the Information Data Exchange, the master exchange, the ability to turn data into cash, the first breakthrough. And we have, within that bifurcated exchange operations that have focal attention around compliance, the ability to create compliant transactions where we can move tokenomics and real-world assets into revenue-generating cash to move objects for political campaigns directly from their donors into campaigns, taking out all the parasitical middlemen that have extracted money and taking it from campaigns and reduce the impact of investments that individuals make into campaigns. So a token that solves for direct investment and a government relationship that is ultra compliant, open kimono on the blockchain, something that we can all look at and see and have an understanding of; it's an exciting proposition. It's something that we're excited to launch in America, and it solves a problem. It also provides for a level of material data, data about who gets support and how that support is rolling in, information that's readily available if you look for it right now under our current system, but under tokenomics, opens up and is more powerful. It can allow small donors to make big impact. It can allow for institutions to make investments into campaigns and have that transparency that we've all been dying for in our country. We also have the solution to NIL, college sports and NIL Exchange solving a major American problem, but also having an international revenue opportunity around all education institutions, all individuals who want to claim their likeness and monetize it on a fair exchange. There's also the Elements Exchange, probably the most exciting of the three, probably the first launch of those three and an ability to take real-world assets and monetize them on an exchange. So these are all exciting developments. Our patent portfolio continues to explode. We have already now 72 assets under management. Our Acoustic Science division is absolutely bursting with technology. It's getting licensed into some of the biggest companies in the world, PacRim, Taiwan. We have a number of large-scale opportunities to push that technology into the world on a scale that was first not imagined with WiSA, robotics and other areas that have made that technology more exciting. If you look at the excitement around WiSA, it's about our ability to capture clientele in scale. And if you look at some of the advancements made with Datavault and the team, the ability for Burke Products to name us and select us into a government contracting opportunities around key instruments of both our military complex and administrative aspects of our government, we have also made a growth outlook in our patent licensing strategy and our ability to monetize inventions that we own in the United States. And we have a gateway, a key gateway for companies that are looking to enter into Web3 technology, tokenomics and monetization over exchanges. We have strategic IP that underpins these technologies. And as we bring them into scale, we have a $50 million revenue target into next year. We have a platform that is second to none that allows us to monetize data, turn data to cash. We have IBM Platinum partnership in place. the DataValue, the DataScore and the Datavault Bank, security and compliance, a compliance-first infrastructure focused on government compliance, the SEC, the Federal Elections Commission for the Political Exchange, the NIL being governed by all of those governance bodies that individual customers will be governed under, based on their membership at a university, their position as a student within that. Any other person that is in the world that wants to monetize their NIL, has various regulatory and taxation compliance issues that our system solves for systematically, automatically, making the complex consumable, allowing the kid to play third base and not be dragged off by the IRS. Very simple solutions that solve American problems and allow the systems like NIL to advance in a way that's not been perceived. We have an Information Data Exchange that solves problem after problem, the political, the NIL, the elements and data to cash, big- time solutions for our country and for our company and our customers internationally. We have a refinery of vault and exchange infrastructure that continues to capture patents. We've moved VerifyU up to enterprise level. We have the ability to verify your education, whether a doctor, at a master's or a bachelor's degree. We can load these credentials with memories, with artifacts of value of data that represents knowledge and education or credential or valor. We have the ability to prove that Valor all over the world. Or if you're like Billy Davis and you're trying to deliver fundamental value in the form of benefits, we have a wrapper that allows you to move this and prove this around the world. We have a tone that ties to this technology that no one else has that is a Sonic marker that connects these artifacts to blockchain artifacts to be proven. And that proof, that verification, we call it VerifyU. It's a powerful tip of the spear, the beginning of our revenue domination in this company, our move from tens to hundreds of millions of dollars in revenue through this technology. The Sumerian technologies, the anchors that set us apart, molecular, micro and sonic are second to none. No one else has these tools. We have a cool new logo. We have a bunch of assets that we brought into this that allow this to become a very important centerpiece to the company's technological lead and valuation. The Nyiax relationship with the information data exchange gave us access to the NASDAQ financial framework. It allows us to use a matching engine that is trusted around the world. We use IBM as a Platinum partner, and we're using IBM for compliance. We're using IBM for watsonx.ai and deep, deep AI capabilities and engineering, where we can deliver enterprise-level solutions for our clients and build exchanges on the level of the ICE or the New York Stock Exchange. The partnership with IBM cannot be overstated. The ability to have deep engineering bench and deep AI technologies and leadership in the space has enabled us to build leading agents, the Datavault Bank, the DataScore, the DataValue. These are engines that are AI generative, they are unique in that they focus on our customers' assets and derive value from them. They're subordinated AI systems that allow us to deliver data to cash. And this conversion is going to propel our company to the top of the NASDAQ. The DataScore, the DataValue and the Datavault Bank, technologies developed over 8 years. I would like to thank Stump Family Farms, the Zayer family, the [ Jena ] family in New Jersey. These are individuals who invested early, that saw this early, that understood early that this technology would have impact in the world and it has. We're starting to spread our wings. We're starting to get this technology rolled out in a way that is scalable, no touch. It is done through our clients' infrastructure. It is pushed inside scale, systems like Oracle PeopleSoft, others that propel our company forward, ServiceNow, other companies that can use our software and propel value in their own systems. We have also created a two-divisional system, one that's focused on ADIO and events and the use of audio technologies in experiential to develop value in our Acoustic Science division, also leveraging patented technology that change events to Web3 experiences. And we have also focused on a second division, Data Sciences division, with robust technology and giant patent portfolio and the ability for that portfolio to be perfected around tokenomics, data ownership, security, reliability, governance and compliance, compliance first, making data a commodity, allowing commodity of data to be sold around the world and to take different forms like carbon credits, geothermal coins, coins that we're going to create in EV and other areas where we're able to solve problems using tokenomics and blockchain and AI to create the maximum yield for America, for our customers, for our company. And by doing that, we create a number of integrated systems. Our systems integration is leading the way in Web3. We have a supported system around ADIO, Datavault, DataScore, Datavault Bank and WiSA that we can upsell into events that we now control because of our acquisition of CompuSystems. And as you look forward to the acquisition of API Media, additional marquee events added to that cadre if selected to finalize with API. So when you look at this altogether, the ability -- the lack of our ability to recognize the $2.5 million in licensing, which will come onboard as as Nyiax pays that license fully, that becomes a revenue asset rather than a booking. But even with that, our actual outcome is still indicative of growth. We're very excited about this. We have an actual performance here at $2.3 million. Revenue target is on track, and our revenue to target for 2026 is on track. I believe these numbers are conservative. But as the CEO, I'm aiming for much larger numbers, but the team has done such a nice job, an exquisite job of performing against all odds, taking the WiSA technology, reducing its cost and having the margin -- the high- margin audio business emanate, the ADIO adding to that incredible technology, the Nyiax and the matching system that we have through them and the IBM partnership; these are all things that are coming on to this revenue. They're not reflected in these numbers entirely. And you start to see the company has explosive revenue-generative capability. We're like a wound-up clock. We have the ability to systematically create all of this revenue, and we're doing so in systems that we're automating and using AI and modern technology to make more and more profitable for our stakeholders. So excited and focused going into the end of the year. We have so much already under our belt in the third quarter that I'm excited to talk about in the next iteration of this. But again, thank you, everyone. Of course, Brett Moyer, our CFO, is here to ask -- any questions that you have, and we'll open it up now for questions. Thank you very much.
Operator: [Operator Instructions] We don't have any questions registered at this time. This concludes our question-and-answer session. I would like to turn the conference back to Nate Bradley for closing remarks.
Nathaniel T. Bradley: Thank you, everyone, for taking the time today. We appreciate the interest in our company. There's been such an outpouring of support and leads and opportunities that have come our way through the investment groups involved with our company. We're so grateful and honored to have those opportunities. We're good stewards of them. We're bringing them to fruition. I'd like to thank everybody involved in our company for pushing so hard every day and appreciate the amount of progress we've made in such a short time. And thank you very much, and God bless. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.